Operator: Good afternoon, and welcome to the Equinix Fourth Quarter Earnings Conference Call. All lines will be able to listen only until we open for questions. Also, today's conference is being recorded. If anyone has any objections, please disconnect at this time. I would now like to turn the call over to Katrina Rymill, Vice President of Investor Relations and Sustainability. You may begin.
Katrina Rymill : Good afternoon, and welcome to today's conference call. Before we get started, I'd like to remind everyone that some of the statements we're making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks identified in today's press release, and those identified in the filings with the SEC, including our most recent Form 10-K filed on February 21, 2020 and 10-Q filed on October 30, 2020. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it is Equinix's policy not to comment on its financial guidance during the quarter unless it is done in explicit public disclosure. In addition, we will provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and the list of the reasons why the company uses these measures in today's press release from Equinix IR page at www.equinix.com. We have made available on the IR page of our website a presentation designed to accompany this discussion, along with certain supplemental financial information and other data. We'd also like to remind you that we post important information about Equinix in IR page from time to time and encourage you to check our website regularly for the most current available information. With us today are Charles Meyers, Equinix's CEO and President; and Keith Taylor, Chief Financial Officer. Following our prepared remarks, we'll be taking questions from sell-side analysts. In the interest of wrapping this call within an hour, we'd like to ask these analysts to limit any follow on questions to just one.  At this time, I'll turn the call over to Charles.
Charles Meyers : Thank you, Katrina. Good afternoon, and welcome to our fourth quarter earnings call. I hope that 2021 is off to a great start for all of you and that you and your loved ones are safe, healthy and ready for an exciting year ahead. As I reflect on the extraordinary events of 2020, it's clear we are living in a time unlike any other in our history. Without question, the COVID-19 pandemic changed nearly every aspect of our lives. For some, the impact has been and continues to be devastating. Our hearts and our support continue to go out to those suffering or facing great loss. Despite the rapidly changing landscape, our focus has remained clear. Ensuring the health, safety and well-being of our employees, customers and partners, keeping our data centers safely operating around the world and continuing to be a source of strength for our communities. I'd like to take a moment here to thank our employees for not only enduring but excelling in the face of adversity and for powerfully demonstrating our commitment to be in service to: in service to each other, to our customers, to our shareholders, and to the communities in which we live and operate. In the midst of all that has transpired, our business model has proven resilient, and we continue to innovate, execute and deliver for our customers. We closed over 17, 500 deals in 2020, reflecting the strength of our value proposition and highlighting the tremendous scale and momentum of our go-to-market engine. We expanded our scale and reach, both organically and through M&A, solidifying our position as a leading digital infrastructure provider in Canada, entering the Mexico market and announcing our GPX transaction in India, which we believe will be an ideal springboard in this large and growing market. We completed 16 new expansions, our most active build year ever, and have a sizable construction roadmap still ahead to support our backlog and healthy pipeline. We've introduced transformative capabilities on Equinix Fabric and Network Edge, revolutionizing the way enterprises connect digital infrastructure and we launched Equinix Metal, a fully automated and interconnected Bare Metal as a Service offering that provides even greater flexibility for customers to place their digital infrastructure where they need it, when they need it. We also had a very active year in the capital markets, leveraging our investment-grade ratings to refinance our debt, driving substantial interest savings into the business as reflected in our AFFO per share metric. For the year, we delivered $6 billion in revenue, completing our 72nd consecutive quarterly top-line increase and amazing 18 years of continuous revenue growth. In terms of the road ahead, one post-pandemic reality is already clear: our world is increasingly and inescapably more digital. Digital is reshaping our everyday lives and is impacting every element of our customers' businesses, not just how they interact with their customers, but how they interact with their data, how they collaborate and innovate, how they support their employees, how they engage partners, how they architect their network. Everything is changing. Digital transformation is reshaping the competitive landscape across every sector of the global economy and is fueling demand for a new generation of digital infrastructure. Infrastructure that is more distributed, more cloud connected and more flexible, characteristics that represent the hallmarks of Platform Equinix.  As service providers build out their infrastructure to capture burgeoning digital demand and enterprise customers embrace hybrid and multi-cloud as the architecture of choice, Equinix continues to play a key role as a nexus for advancing their digital transformation journeys. We believe that the overall market for digital infrastructure will continue to expand significantly, creating a massive long-term opportunity for those providers able to adapt to the evolving needs of digital buyers. We believe Equinix is uniquely positioned to capture this expanding addressable market, and we entered 2021 with a clear set of priorities to build on our market leadership, reinforce our competitive advantage and invest in targeted ways to position us for sustained value creation. First, supporting our people and strengthening our extraordinary culture will continue to be at the center of our strategy. People are foundational to how we will navigate the challenges and opportunities ahead. And our goal is to ensure that our culture creates a sense of opportunity and belonging for all our employees, affording us a durable source of competitive advantage. This year, we're expanding our award-winning sustainability ambitions, a priority that has resonated with both employees and customers as diversity, inclusion, social justice and climate change all remain front and center on the global stage.  Equinix is an important component of greening digital infrastructure, and we have seen a significant increase in customer interest in this area. We continue to expand our efforts around renewables coverage, energy efficiency projects, green building certifications as well as our pursuit of science-based targets and innovative techniques to push sustainability forward in all 3 regions. Second, we will focus on simplifying and scaling our business to drive long-term operating leverage and enhance our customer experience. This will include targeted efforts aimed at streamlining and automating, ordering and billing, enabling channel self-service and delivering enhanced digital engagement options for our customers. In parallel, we'll continue to evolve and scale our highly productive go-to-market engine, investing in more quota-bearing headcount and leveraging our growing channel to amplify our reach to prosecute the opportunity in front of us. Third, we'll continue to expand our global reach with an ambitious plan across both retail and xScale in direct response to customer demand.  And fourth, we'll accelerate our digital services business, adding new product capabilities, expanding market availability and augmenting our go-to-market motion, all aimed at accelerating new customer acquisition and positioning us for future growth as we drive attach rate across our expansive customer base. Turning to our results, as depicted on Slide 3, revenues for the full year were $6 billion, up 8% year-over-year. Adjusted EBITDA was up 8% year-over-year and AFFO per share grew 12% year-over-year. Interconnection revenues grew 14% year-over-year, driven by strong adoption of Equinix Fabric and solid interconnection adds. These growth rates are all on a normalized and constant currency basis. Our longer-term product roadmap and platform vision continue to advance to support our position as the world's digital infrastructure company. We now have over 392,000 interconnections and continue to build out ecosystem density across our metros. In Q4, we added an incremental 7,700 interconnections, more than our top 15 competitors combined, fueled by continued strength in network and cloud connectivity. Internet Exchange saw significant increases, both in port capacity and traffic growth, with peak traffic up 8% quarter-over-quarter and 43% year-over-year, driven by cloud, content and gaming segments. Equinix Fabric also saw strong growth, driven by port additions as well as existing customers upgrading to higher speed connections and increasing their use of our intra-metro offering. We also launched a new capability that allows Equinix Fabric users to quickly and easily connect to any other customer on Platform Equinix, unlocking the full value of our scaled digital ecosystems. And with Equinix Fabric integration built into both Network Edge and Equinix Metal, digital leaders are finding it easier than ever to use Equinix to create and connect their foundational infrastructure. In its first quarter as an Equinix branded product, Equinix Metal demonstrated solid momentum and is now available in 8 global metros, with plans for an additional 10 markets early this year. On the xScale side of our business, we continue to be very pleased with our JV strategy and are making significant progress expanding the reach and scale of that business. As planned, xScale is enabling us to extend our product set, capture hyperscale demand and deepen cloud density, while leveraging our balance sheet with the JV structure. We have an ambitious plan for 2021 and are resourcing xScale to accelerate growth. Plans include incrementing our existing JVS, entering in new markets such as Australia and evaluating new options to broaden our reach and leverage our existing land bank. We currently have 8 xScale builds underway, spanning all 3 regions and are moving forward with the second phase of Tokyo 12, given early success in this market. Now let me cover highlights from the verticals. Our Network vertical, again, achieved record bookings, driven by carriers upgrading core, edge and mobile networks to address shifting traffic patterns resulting from the pandemic as well as continued strength in enterprise resale. Network service providers have proven to be some of our most productive channel partners, which has led to sustained momentum in this vertical. New wins and expansions included Senia Networks, a Danish network provider, connecting to partners in Amsterdam, Frankfurt, Hong Kong and London, as well as a Fortune 500 cable operator, leveraging Equinix to re-architect core infrastructure for cloud access to support video-on-demand caching and delivery. Our Financial Services vertical also had a record quarter, led by multinational financial services firms, with particular strength in the Americas. Expansions included a Global 2000 fintech player, expanding their equity options present to access our dense financial ecosystem and a Fortune 500 insurance company, implementing a hybrid cloud strategy on Platform Equinix. Our Content and Digital Media vertical saw particular strength in video and digital advertising as companies are investing to bring their services directly to consumers. New wins, included one of the largest shopping and e-commerce retail groups, deploying infrastructure to support digital e-commerce activities; and Index Exchange, a top independent global ad tech marketplace expanding compute nodes to manage increasing traffic from customers. Our Cloud and IT vertical delivered solid bookings, increasing density and coverage of software-as-a-service providers and winning new cloud on-ramps in smaller markets, including Dubai and Melbourne. Expansions included Fortinet, a global cybersecurity platform provider, expanding to support scale and user experience; and ServiceNow, deploying infrastructure closer to users in Europe to optimize performance, enhance user experience and support their rapid growth. Our Enterprise vertical had a strong quarter driven by healthcare and retail as telehealth and digital initiatives see continued momentum. Work-from-home and collaboration-related use cases remain active, although less than pre-pandemic levels as enterprises shift their focus back to broader digital transformation initiatives. New enterprise wins included Atrium Health, the largest health system in the Southeastern U.S. deploying digital infrastructure to enable compliant, multi-cloud and business partner interconnection as well as a Fortune 500 manufacturing company deploying digital infrastructure at Equinix to facilitate cloud connection. And our channel program had another great quarter, accounting for 35% of bookings. We saw particular strength with our hyperscale and technology alliance partners, capturing wins across a wide range of industry segments focused on digital transformation efforts as well as pandemic response. New partner wins included a Canadian automobile parts manufacturer, accessing our network and cloud density to interconnect to the connected car and broader automotive ecosystems. We continue to expect channel bookings to be an important pillar of our go-to-market strategy in 2021 and beyond. Now, let me turn the call over to Keith to cover the results for the quarter.
Keith Taylor : Thanks, Charles, and good afternoon to everyone. As Charles noted, we're living in unique times, and I hope you and your families are healthy and well. Despite the challenges of 2020, the Equinix team rallied at all levels of the organization and delivered another strong year for our investors, our customers and our employees. We ended the year on a high note with record gross bookings, strong inter and intra-reaching deal flow activity, positive net pricing actions and a healthy sales pipeline as we head into 2021. Also, we ended the year with significant backlog of cabinets booked but not yet installed. And consistent with my prior quarter's comment, we anticipate a meaningful increase in our cabinets billing metric in the first half of 2021. So simply put, we continue to drive value on both the top-line and at a per share level. And our core strategy as the world's digital infrastructure company continues to separate us from our peers. In the year ahead, we're leaning into our product and services initiatives, scaling and automating our business and investing to expand our platform. We're also managing substantial construction activity at a level previously not seen. With 44 major expansion projects currently underway across 30 markets and 20 countries, including 8 xScale builds. Our build efforts are dollar-weighted towards major metros that generate over $100 million in revenues. Both the OpEx and CapEx investments are driving and supporting the continued volume of high-quality interconnection-rich wins across both our direct and indirect channels, resulting in durable long-term value creation for our shareholders. We've also been active in the capital markets, benefiting from our investment-grade ratings that helped drove down our cost of borrow. Over the past 2 years, we raised over $11.5 billion in capital, funding the growth and scale of the business, while lowering our overall blended cost to borrow by approximately 160 basis points, another value driver as reflected in our AFFO per share metrics. Now, let me cover the highlights for the quarter. Note that all growth rates in this section are on a normalized and constant currency basis. As depicted on Slide 4, global Q4 revenues were $1.564 billion, up 8% over the same quarter last year and better than expectations, in part due to strong NRR activity, although offset in part by a one-off accounting adjustment. We enjoyed another quarter of net positive pricing actions, a strong reflection of how our operating model differs from our peers. Q4 revenues, net of our FX hedges, included a $9 million benefit when compared to our prior guidance rates. Looking forward, we expect NRR activity to decrease in Q1, although step up again in Q2. Global Q4 adjusted EBITDA was $711 million or 45% of revenues, up 5% over the same quarter last year, outperforming our expectations due to favorable revenue mix, strong operating performance and lower utility costs. Our Q4 adjusted EBITDA performance, net of our FX hedges, included a $4 million net FX benefit when compared to our prior guidance rates. Global Q4 AFFO was $517 million, meaningfully above our expectations on a constant currency basis due to strong operating performance while absorbing seasonally higher recurring CapEx investments, a similar scenario to prior years. Consistent with AFFO, our operating cash flows increased significantly in the quarter, largely due to strong collection activities. Interconnection revenues were greater than 18% of recurring revenues, showing continued strong momentum across each of our regions, both on a dollar basis and as a percent of our recurring revenues. Turning to our regional highlights, whose full results are covered on slides 5 through 7. APAC and EMEA were our fastest-growing revenue regions on a year-over-year normalized basis, both growing 11%, followed by the Americas region at 4%. The Americas region saw its third consecutive quarter of record gross bookings with firm pricing, a high mix of midsized deals and our highest number of new logos in 2 years. Additionally, the team continued to sell across the global platform, delivering on our second consecutive quarter of record exports to the other 2 regions. Americas interconnection adds remained strong. Cabinets billing trended back to normal levels, and we expect a large step-up in cabinet billing in the first half of 2021. Bell Canada assets had a good start under the Equinix banner and our integration efforts remain on track. Our EMEA region saw solid bookings in the quarter, including our best intra region in 2 years, with firm pricing led by activity in both our Amsterdam and Frankfurt markets. Revenue growth remains strong, although we expect some 2021 moderation as we lap past our successful cross-connect repricing initiative in 2020. Also, we're investing broadly in our growth and emerging markets, or GEMs to meet the anticipated demand in these edge metros. And finally, the Asia Pacific region had its second best gross bookings quarter with a solid mix of small ecosystem-accretive deals in our Singapore and Japan businesses. Utilization rates remain high. We expect to bring new capacity online over the coming quarters in key markets to ease the anticipated capacity constraints. And now looking at our capital structure, please refer to Slide 8. At year-end, our balance sheet is greater than $27 billion, including unrestricted cash of approximately $1.6 billion, a meaningful decrease over the prior quarter due to the close of the Bell Canada asset acquisition and the settlement of debt refinanced in the quarter. Also, we moved our Paris 9 asset into the EMEA JV and closed our Japan JV with GIC in December. As a result, net of our equity investment, the JVs reimbursed us over $300 million in the quarter. At year-end, our xScale joint ventures had total assets on their balance sheet of greater than $1 billion, including the capital deployed. In 2021, you should continue to expect a meaningful increase in xScale activity. Our net debt levels remain low relative to our peers at 3.8 times, our Q4 annualized adjusted EBITDA within our targeted range. Over the past 2 years, we refinanced a large portion of our historically high-yield debt structure. Yet, we still have another $1.8 billion of debt to refinance over the coming quarters, which at current rates would result in another $50 million plus of annualized interest savings. Turning to Slide 9 for the quarter. Capital expenditures were approximately $834 million, including a recurring CapEx of $74 million, a meaningful increase over the prior quarter, but as expected. Our construction and procurement teams continue to actively manage our expansion pipeline, delivering capacity at robust build levels, while incorporating the health, safety and well-being of our internal and external teams. Over the past year, we've experienced an average construction delay of a few weeks due to the pandemic, a trend that we will continue to monitor and assess. In Q4, we opened 4 new expansion projects, D.C., Frankfurt, Paris and São Paulo. Additionally, we added 7 projects to our expansion tracking sheet, including our entrée into Genoa Italy in support of the subsea cable landing station opportunity. Genoa 1 will have a direct fiber access to Milan 5, our new flagship facility in this metro ready to open in Q1. We continue to expand our ownership, acquiring land for development in Genoa, Madrid, Mexico City, Milan and São Paulo. Revenues from owned assets currently represent about 55%. Our capital investments delivered strong returns as shown on Slide 10. Our 147 stabilized assets increased recurring revenues by 4% year-over-year on a constant currency basis. These stabilized assets are collectively 84% utilized and generate a 27% cash-on-cash return on the gross PP&E invested, a step down over the prior quarter due to the impact of a weaker U.S. dollar on our non-U.S. stabilized assets. As a reminder, similar to prior years, we plan to update our stabilized asset summary on the Q1 earnings call. Now please refer to slides 11 through 15 for our summary of 2021 guidance and bridges. Do note, our 2021 guidance does not include any financial results related to the pending GPX India acquisition.  Starting with revenues for 2021, we expect top-line growth of 10% to 11%, reflecting the continued momentum in the business and favorable FX rates relative to the prior year. On a normalized basis, revenues are expected to grow 7% to 8% over the prior year. MRR churn is expected to remain in our targeted range of 2% to 2.5% per quarter for the year. For Q1, we expect the MRR churn to be at the lower end of this range. We expect 2021 adjusted EBITDA margins of approximately 47%, excluding integration costs, the result of operating leverage in the business, offset by investments in our product, xScale and business simplification initiatives. We expect to incur $30 million of integration costs in 2021 for various acquisitions. 2021 AFFO was expected to grow 10% to 12% compared to the previous year. AFFO per share is expected to grow 8% to 10%, including integration costs. We've excluded any capital market activities here. 2021 CapEx is expected to be $2. 5 billion to $2.8 billion, including approximately $180 million of recurring CapEx spend, which represents about 3% of our revenues. This guidance also includes approximately $250 million of on-balance sheet spend related to xScale projects, which we expect to be reimbursed for in the future as we move or sell assets into either our current or our future JVs.  And finally, we expect our 2021 cash dividends to increase to slightly greater than $1 billion, a 10% increase over the prior year or an 8% increase on a per share basis. So let me stop here and turn the call back to Charles.
Charles Meyers : Thanks, Keith. In closing, as 2020 showed us, our world is a very dynamic place. I'm proud of how we have navigated and adapted through this challenging environment, and I'm pleased with our increasing momentum in unlocking the tremendous opportunity ahead. We had a strong finish to the year, delivering across each of our areas of strategic focus, all while maintaining a disciplined and long-term oriented approach to our capital allocation and shareholder return strategies. Undoubtedly, as with all times of transition and transformation, there will continue to be challenges ahead. But I am as optimistic as ever about our business and the opportunity to serve our customers, partners and shareholders as the world's digital infrastructure company. We need to continue to invest in extending our market leadership and ensuring our long-term relevance to the expansive opportunity presented by digital transformation. As a society and as a company, we learned a lot in 2020. And I believe there are a plethora of silver linings that will come from this past year. We enter 2021 filled with gratitude, ready to tackle the challenges and opportunities ahead and collectively energized by the pursuit of our purpose: to be a platform where the world comes together, enabling the innovations that enrich our work, life and planet.  So let me stop there and open it up for questions.
Operator: [Operator Instructions] Our first question is from Michael Rollins with Citi.
Michael Rollins : I was curious if you could talk a bit more about the revenue growth guidance, organic constant currency of 7% to 8% for 2021. What's driving the difference between 2020 and '21? And with the investments that you're making this year, how do you look at the opportunity to grow in the future? Can you accelerate that? Would you expect to maintain that level? Just some additional color would be great.
Charles Meyers : Yes, why don't I -- I'll start, Mike, and then Keith, you can comment as you see fit. I think that we're seeing, as we've talked about in the past, it's getting harder and harder to grow on a very -- a much larger base, and I think -- and doing that while maintaining a level of discipline on the strategy. And so that's definitely our focus. We believe that that's the way to continue to drive value creation. We're seeing strong uptake in terms of customers being resonant with the value proposition, but it does take a lot of productivity to drive the bookings that are going to fuel the kind of growth rates that we're seeing at given the size of the business overall. I think in terms of the investments, yes, we do believe that those are going to continue to translate to us sustaining and hopefully maybe increasing growth rates over time. But I think -- and I think we've already seen that. I think without the investments that we've made in the past, into our product teams, in particular, and into other areas of business like xScale, I think -- I don't think we would have seen growth that we saw in 2020. And so I think it has been an opportunity for us to invest in the business and generate returns. I think one factor on operating margins, I think, in 2020, going into 2021, 2020 was an unusual year. And I think it was a difficult time for our world overall. I think we made a decision to both continue to invest in our people in various ways that we've given you visibility to in our last several calls. And give them confidence that they have their jobs. And I stand by that decision is the right one for the company, and I'm confident that the long-term return on that decision is compelling. But it's -- interestingly, I think as we -- I guess, partially expected employee turnover fell significantly. Because I think as people sought the security of a really strong employer like Equinix, and they probably fell even more than we anticipated. And it really, to some degree, reduces your range of motion as a business.  So I think when it falls and yet you're wanting to continue to evolve and adapt your workforce to the changing needs of business and the strategy at hand, you're left with the decision as to whether you add and kind of overrun where you thought you were going to be from a headcount standpoint or whether you delay doing that in an effort to sort of stay tighter on the expense side. Like many, we probably ended somewhere in between. And -- but undoubtedly, I think that's a contributing factor in terms of growth of SG&A as a percentage of revenue. And reversing that trend is a priority for us in 2021 and beyond. But we do feel like we needed to make these investments, need to continue these investments in the business because I think the opportunity associated with the digital transformation sort of needs of our customers are significant, and I think we're uniquely positioned to play into those. Keith, anything you want to add, buddy?
Keith Taylor : Yes, why don't I just maybe add just a couple of other comments? I think the other thing that's very telling about '21 over '20, and particularly as you look into Q1, there's a meaningful step down in our non-recurring revenue. And as we've said before, it tends to be lumpy. We said there'd be a step-up in Q2. That ties in nicely to the incremental cabinet additions that we should -- we expect as a business. And so that's sort of playing into. The other thing that we can't lose sight of is the level of price increases that went through last year. And as I said in my prepared remarks, that we're going to lap over that. And so you get -- you don't get the same benefit, but you get it in your run rate. And then the last thing I would just say is that we continue to invest in xScale, and I talked about a lot of activity taking place there. But we're not yet banking on that as it relates to how the year will progress, either in fees or contribution from our equity interest in the JV. And so that's sort of what's going on with the business.  And again, when you look at overall, 10% to 11%, recognizing normalized is 7% to 8%. I'll tell you, maybe just one other thing that really comes to note here. Again, the Americas region grew about 4%, as I said last quarter in my prepared remarks. As you come through Q1, you'll continue to see relatively modest growth in the Americas, but then you'll see the acceleration through the last 3 quarters of the year. And that's what was really exciting about what we see in the plan. So part of it is just timing based, part of it is the impact of non-recurring revenue, part of it is the price increases. But overall, we feel very confident in the numbers that we put forth here.
Operator: Our next question is from Phil Cusick with JPMorgan.
Richard Choe : This is Richard for Phil. Just wanted to follow-up on that a little bit, about the Americas growth. I assume some of that is the growth of the acquisitions of Mexico, Packet and Bell what kind of growth rates are you expecting from them versus kind of the average for the overall region?
Charles Meyers : Keith, you want to grab that? The one thing I would say on Packet is we don't really think about that as a regionally-oriented investment, it's -- since the capabilities are going to be deployed on a global basis. We definitely expect that to grow, seen a substantially over-index over the rest of the business, but we expect to see success across the regions on that. And then the other businesses also, I think, are likely to over-index, but I think there's other factors. I think it's more a sustained -- the sustained performance having really moved through, I think a lot of the churn that we're seeing associated with the Verizon assets and some of the churn that occurred through there and I think a stabilization business and are really -- several really productive bookings quarters from the Americas bookings into.
Richard Choe : And to follow-up on that, the churn, I guess, was a little higher in the second half of the year, the 2.6%, but you said it would be lower in the first quarter. Is it mainly because of the rise in churn as well? Or is there something else there that is showing that improvement or driving that improvement?
Charles Meyers : No. It's -- we did say that, in fact, we had -- in the last call, we had said that this quarter, we expect it to be back in range. And we saw a little bit of timing, adverse timing again this quarter and a little bit of unforecasted churn that pushed us up to 2.6%. So I'm a tad reluctant to tell you we're back in range in Q1, but I do believe that's our firm expectation. So we -- I would say that there -- if you look at it, there were several churns over the last couple of quarters that were from acquired assets that were the types of deployments that we wouldn't generally be targeting. And so I don't think it's a fundamental sort of issue in the business as it is, I think, some of the things that weren't -- aren't really part of our strategy moving through. The other thesis that's similar to that is about 20 bps of the Q4 churn was associated with large, lower margin managed services deal in Europe. And so again, I think when you back those things out, you're really looking at sort of a level of churn performance within the business that's pretty consistent with our expectations. Churn is definitely a focus for us in the year ahead. And I do think kind of where we land on a full year on a revenue basis is going to really depend on where we can land in the churn range that we’ve forecasted through the course of the year. So it's going to be a critical area of focus for us. But nothing fundamental that we're seeing, just volatility in terms of -- or just movement in terms of people evolving their architectures and the normal frictional churn that exists in our business. But I think nothing beyond that.
Operator: The next question is from Tim Long with Barclays.
Timothy Long : I wanted to ask on the interconnect business. Maybe a two-parter. Can you just update us on the initiatives for global pricing there for the international markets, getting them more up to Americas type of levels? And can you talk a little bit about your view of that, kind of as we head into 2021, particularly with the really strong cabinet equivalent billing in the first half? Could that be a positive indicator for what we'll see from interconnect activity as we head into the first part of the year?
Charles Meyers : Sure. Yes. I mean, I would say that overall, we're incredibly pleased with the performance of our interconnection business and what that means for the broader performance of the business because interconnection isn't really -- even though we reported as a product line, if you will, and talk about the performance in its growth, and it continues to over-index meaningful versus the rest of the business, it's really a core part of the value proposition and fuels the rest of the business in terms of the strength of the value proposition when it comes to digital transformation. You mentioned specifically pricing, obviously, we had tremendous success implementing a pricing sort of normalization effort in Europe over the course of 2020. We're largely through that now. And so as Keith said, that's impacting the year-over-year compare on revenue growth in Europe, but we're now seeing those benefits sort of built into our run rate. In terms of broader opportunity for pricing adjustments, I think that we're continuing -- we'll continue to evaluate that. I don't -- I wouldn't see anything meaningful on the horizon for us there. I think we, obviously, are just coming off the European adjustments. But I think that we do have to continue to look at both our underlying costs and the trajectory of those and whether or not adjustments are needed for us to continue to maintain our margin profile. And then also, the real focus for us is looking at the value delivered to our customers. And we do think it is so substantial as they look at implementing Equinix Fabric, for example, as a foundational part of their hybrid multi-cloud architectures that we feel comfortable that we're going to be able to continue to get strong pricing from the interconnection offerings. And then last point, Keith did mention we're expecting sort of strong cabinet adds because of the strong backlog. And yes, that's going to -- it is going to continue to fuel interconnection because we're seeing really good sort of ratios in terms of -- because we're maintaining a level of discipline in the strategy, and we're not reliant on these super large footprint deals that are poorly interconnected, we are seeing cabinets fuel interconnection growth. And so overall, I think those things will move nicely in tandem.
Operator: The next question is from Ari Klein with BMO Capital Markets.
Aryeh Klein : Charles, you mentioned in the prepared remarks some of the bigger picture changes as the world digitizes. Can you talk about how this is impacting deal flow, deal sizes? Any impact on sales cycles? Are they lengthening in any way as a result?
Charles Meyers : Yes. Sure. Yes, I mean, I talked about that we're really seeing digital take off and be a Board-level priority for people, and it's changing the way, as I said, people think about not only electronic commerce and digital interaction with their customers, but how they think about data and how they're using AI to create competitive advantage, how they're architecting their networks. And those last 2 examples are 2 really good ones of that are central to what we have in our funnel today and what's fueling our strong bookings on a quarter-over-quarter level. And that is that people thinking about using Equinix as a nexus for their data, locating their data there, intersecting it with cloud services across the globe to create insights and egress those insights to the people within the business that need them. And then network re-architecture has been bread and butter for us for a very long time in Equinix Fabric and then things like Network Edge and now Metal even adding to the mix there, really substantially improving the way people can -- and accelerate in the way people are thinking about network re-architecture. And in terms of how it's affecting our -- I would just say this. I think that if you look at our mix of business, if you look at the kind of volumes that we're doing, 17,500 transactions over the course of the year, it is, we're really focused on those sort of -- on those sweet spots in our business where we can demonstrate differentiated value. And I think that's why we're seeing such strong pricing. We continue to see positive pricing actions and firm even spot pricing, in many ways, in our business because I think the value proposition is so strong.  And so -- and I -- but I do think it's still at a point where these are not really short sales cycles. There's a lot of solution selling still being done with us and through -- and in combination with our partners. And it's why we need to continue to invest in re-architecting and refining and adding capabilities to our selling organization, including scaling our channel. And so those are areas of investment we're making. And I do think that the prospect is, over time, that those -- I would say that I don't think sales cycles are lengthening. And in fact, if anything, I think they're starting to shorten, in particular, follow-on sales cycles, meaning after you've already brought a customer in, that first win with the customer is still -- it can be pretty extended. But follow-on sales cycles, I think, are shortening. And I think that hopefully, that points to us continuing to add even further productivity from the selling engine going forward.
Aryeh Klein : And then just real quick on xScale. You're building in Brazil, you mentioned Australia being in the roadmap. Where does the U.S. stand on that list?
Charles Meyers : Yes, we talked about that in the past and generally said that it's not a big priority for us. We think that the competitive intensity of sort of the hyperscale business in the U.S. is significant. I would say capacity -- supply and demand are coming more into line in the U.S. markets, whereas I think they were a little out of balance for a while. So I think that's a good improvement overall for the industry. I would say we're -- never say never in terms of whether -- if a customer really had a specific need that they wanted us to be working with on, we'd be receptive to it potentially. But I would say that we're so comfortable and confident in our -- in the durability of our interconnection value proposition in the U.S. and in the strength of our ecosystems, both network, cloud and others, that I think the strategic imperative is a little bit different. And so it wouldn't be a key priority, but I do think we'll be open-minded about opportunities as they might surface.
Operator: The next question is from Sami Badri with Credit Suisse.
Sami Badri : One for you, Charles, is you commented about an enterprise acceleration really starting to kind of come into fruition, at least in 2021, do you still really believe this to be kind of the case or the observation for the year? Or has your view slightly tilted mainly kind of tied to some of the sales cycle commentary you just gave? Just want to get your latest thinking on any kind of enterprise acceleration mainly taking place in 2021.
Charles Meyers : Yes. I mean I do think that we're seeing -- in fact, if you look over a multiyear period, I think you've seen a pretty substantial acceleration of the enterprise component of our business. And I think that is really tapping into the traditional service provider density that we -- and ecosystem density that we have as well as our geographic reach and how that plays into hybrid and multi-cloud and distributed architecture as an end state for enterprise customers. And so it's interesting because if you are -- the way we report externally, it has network service. We talk about our Network segment, our Financial Services segment and then Enterprise. In reality, all of those 3 segments have significant enterprise components because our enterprise resale and the network vertical is reported there in terms of how we look at that, but we have a meaning piece of that -- meaningful piece, which is Enterprise business that's sold through a network service provider partner. And then on the Financial Services side, yes, we have our trading ecosystem, but actually, the larger piece of that is Enterprise Financial Services business. And obviously, Enterprise I mean, financial services is one of the markets with a very large IT spend and a very, I think, thoughtful and aggressive agenda about moving to hybrid and multi-cloud as their long-term architecture. So all that has created this enterprise momentum for our business over the last several years and I think that absolutely continues into 2021. And like I said, I think that our selling engine is quite productive. It's not yet -- I don't think we're -- we haven't crossed the chasm by any means, but I actually think that's a -- it's really a good thing when you look at the overall Equinix thesis because I think you're looking at a very large addressable market, and we're still in the early innings of tapping that market. And so that means that solution selling takes a little bit longer to get people over the hurdle and really get them through thinking about their hybrid and multi-cloud end state and how we play in that. But as you -- I think as you get them over the hurdle, there's just a lot more wallet share to be gained. And so I think there is an acceleration opportunity for us. And I would expect enterprise to over-index as a segment for us in 2021.
Sami Badri : Got it. And then just one quick follow-up on adjusted EBITDA margins. On one side, pulling this up, you have interconnection, xScale should have slightly higher margins. And now you have to 35% of sales coming in from the channel. And then you did comment earlier about some of the big investments you are making into your teams, your human capital and your channel. And I guess the perception a little bit is that your adjusted EBITDA margin should level up a little bit higher than what you're guiding to in 2021. Could you maybe just give us a little bit more of an idea, maybe a multiyear view in terms of how you see kind of the trajectory playing out, just we can visualize where Equinix is going to shake out in the next couple of years?
Charles Meyers : Sure. Keith, you want to start maybe with a view of kind of what the moving parts are on the guide? And then your thoughts on that and I'll add color as needed?
Keith Taylor : Yes, sure. Sure. Partly, we have to start off with last quarter, one of the things we spoke of last quarter was, there are a number of one-off items that were going through the quarter. And so then you look at the guide that we offered in Q1 and then for the year. I think it's important, one of the things we said is we'll see a recovery of that. There's some one-off costs that were in Q3. They were benefiting us or one-off benefits, I should say. There's one-off costs in Q4. But when you look into Q1, you get to see an EBITDA performance that is substantially up relative to what you would have previously maybe anticipated. Q1 tends to be one of our lower EBITDA quarters. But you can see that we're stepping it up unadjusted $19 million to $39 million. So it gives you a sense of meaningful step-up in the quarter, and that includes absorbing $10 million -- net $10 million that I would refer to as seasonal costs. And then as you look through the tail end or through the next 3 quarters, typically, you'd see -- typically what you'd see in how we're modeling it is, our EBITDA margins would continue to increase throughout the year. And then you sort of take that thinking on a lot of what Charles has said, and then you sort of translate that into our AFFO. Again, one of the things we said, if you look at it in total, AFFO is growing nicely. When you look at it at the share level, it's growing 8% to 10%. So the fact of the matter is, if you back out integration costs, which are, again, they're specific to -- generally to the acquisition of Bell Canada, you're going to see our AFFO per share grow about 10% to 12% this coming year. So there's a lot of value coming into the business. There's a lot of value coming from xScale. But there's still the potential of much more to come if we execute against our strategy. And as I said in at least in my prepared remarks, there is a tremendous amount of activity that we will be embarking upon through this year with xScale. And we're optimistic that, that will continue to drive more value to not only the margin line, but also to our core metric, which is AFFO per share.
Charles Meyers : And I guess the additional color I might add, Sami, is just -- I do think that we -- we're generating operating leverage. And as I've said in past years -- last year, I guess, that we just are more than offsetting that operating leverage by investments in this case and this year into the product team and into xScale as well as into our, what we call Project Horizon, which is an effort to really simplify and automate elements of the business, and I referred to some of those in my prepared remarks, and I think those are areas that we do need to bend the cost curve in the business. And I think that expanded operating margins are and -- are still a priority for us going forward. And again, I think we -- rather than try to squeeze it too tight and not make enough room to open up the longer-term opportunity, we made a decision to make those investments this year, and we think that's the right one. Over -- but I think we also need to make sure that we're seeing those investments translate into operating leverage over time. So we continue to believe that we can, over a multiyear basis, expand operating margins and see additional leverage.
Operator: Our next question is from Jordan Sadler with KeyBanc Capital Market.
Jordan Sadler : So I just wanted to touch base on the Americas cabs billing during the quarter. It was -- it rebounded, but yet still seems a little bit below historical levels even after last quarter's churn event. You pointed to in your prepared remarks a large step-up coming in cabs billing, I think, in the Americas in the first half. Can you point to the drivers there? And did the fourth quarter come all the way around relative to what your expectations were?
Charles Meyers : Keith why don't you grab that and I'll come back.
Keith Taylor : Sure. So again, a lot like what Charles said on in his prior remarks, there was still a little higher churn than we originally anticipated in the fourth quarter. Part of it was in Europe, in reference to a managed services provider, but there was some in the U.S. We're at a point now where we believe that we've made the turn. And then as I said, first quarter, you're going to feel in the guide that we give you, goes a little bit soft, but predominantly soft in the sense that I would expect more of -- we're taking about $20 million out of the non-recurring line in the first quarter. And so what you're really seeing is the momentum pick up from the installed cabs -- pardon me, the backlog to be installed cabinets in Q1 and then in Q2. And so there are deals that we've signed, effectively, they're booked, just not installed. And so we are going to see that momentum. And that's why we have the confidence not only in where we think the revenues will go but also the momentum that we will see through the rest of the year.
Charles Meyers : Yes. Just the only other thing I might add is that we continue to also be very focused on delivering not only cabs, but delivering the yield that we're going to get from those cabs. And that's really a matter of continuing to be disciplined on the workloads and the opportunities that we're pursuing. And I think we're seeing good success there in terms of preserving very high sort of yields per cab. And I think over time, our product portfolio is going to allow us to continue to expand yield effectively as well or at least sustain at the very high levels that we have today. That, combined with the backlog sort of translation, I think, are good signs for the Americas business.
Q - Jordan Sadler : Along those lines, Charles, can you speak to what you're seeing in terms of pricing in the colo business, particularly U.S. colo business? I know MRR has sort of held up and been a driver, but there's a lot going into that item. But it seems that given the overall dynamic that there might be greater pressure out there on colo. And I'm just curious for your comments.
Charles Meyers : Yes. If you're talking about, I think, the broader U.S. colo market beyond our U. S. and Americas colo market, I do think there is -- the dynamics may create pressure on that market and which is why I think we need to continue to distinguish ourselves and focus our -- be very disciplined about our targeting and how we're prosecuting the business. I think there's always a continuum in terms of the strength of the value proposition and therefore, how differentiated you can be on pricing. But again, I would point to the fact that we, across our regions are quarter-over-quarter demonstrating positive -- net positive pricing actions, meaning that when we do have a reprice, for example, those are generally being offset by our ability to sustain pricing increases in our contracts, which I think is a really good sign for the business in terms of our ability to do that. So I think undifferentiated colo is going to continue to struggle to maintain price points. And people are either -- are looking for either lowering price and/or looking for new ways or new markets, a lot of them tilting towards hyperscale, which they're certainly not going to find a lot of relief on pricing there. And so I do think the broader market has a translation or a challenge there. But I think we've -- we're not immune from that, but I think we're substantially more insulated, and I think our metrics really demonstrate that.
Operator: The next question is from Colby Synesael with Cowen.
Colby Synesael : Two modeling questions, if I may. You raised almost $2 billion in equity in 2020. I'm just curious what your thoughts are around the need for equity as it relates to your balance sheet and leverage in 2021? And I guess, offsetting that would be the opportunity to refinance and you noted about $50 million in potential annualized savings. Is the goal ultimately to maintain 8% to 10% AFFO per share growth, one way or the other? And then secondly, just real quickly, what are the assumptions for stabilized growth in 2021? We saw a step down to, I think, 3% in the fourth quarter. 
Charles Meyers : Do you want to start on that, bud?
Keith Taylor : Sure. So specifically, as it relates to our capital market activity, again, we're very specific about we didn't want to include anything in the guidance. So again, if you take out integration cost, AFFO per share will grow 10% to 12%. So we feel really good about where we are. And as you will -- I think many of you will recall, based on the June 2018 Analyst Day, we thought anywhere from 8% to 12% was a reasonable growth rate for AFFO, and we're tracking well against those models that we developed back in 2018. That all said, when you look at what we plan to do this year, we have a very large capital build. The thing I think of the most is how do we go to our lowest cost of capital, which is basically incremental debt. And so what you're going to see is we're going to refinance out of the debt as appropriate. We'll pick our timing accordingly. We'll get over some period of time the annualized benefit of $50 million plus. And then to the extent that we can or we have capacity, we theoretically could raise a little bit more debt because, again, that would be our cheapest source of capital.  As you're also aware, we do have our ATM program. Last year, we announced a $1.5 billion program, but we'll use that appropriate. As market conditions allow, we would walk through the door. To the extent they don't, then we would preserve that capital for a later date. But again, we're always going to bring a little bit of balance to our capital structure. We're going to make sure that we have liquidity on our balance sheet. We have the cash right now, as we announced in our prepared remarks, $1.6 billion plus $2 billion of incremental liquidity from our line. And I'm just -- I remain very optimistic about the amount of cash that we generate in the business as well as the return of capital from the JV as we continue to invest in building out some of these assets, we'll get some more incremental capital from our JV partners as we scale the business. So again, Colby, I think it's a great question. 8% to 10% is sort of a very comfortable range and where we feel we can deliver in ‘20 -- in through 2021. And we'll update you further on -- I think we're going to do the June analyst -- at the June Analyst Day, we'll update you a little bit further on our longer-term view of what we think we can accomplish as a company.
Charles Meyers : And then, Colby, on the stabilized assets, we've been saying 3% to 5% on that, and we're kind of right in the middle of that range. And so I think that's probably -- we expect to sort of continue to operate in that range.
Operator: The next question is from Jonathan Atkin with RBC Capital Markets.
Jonathan Atkin : I had a question on product. I suppose it relates a little bit to Charles, your commentary on kind of yield per cabinet. But can you talk about Equinix Fabric, Equinix Metal, how you're either expanding those product capabilities or expanding the distribution reach? Anything to kind of call out on that front? And then it's been a number of years I think since you've commented on the Federal vertical, but I wondered in the context of some of the Americas questions earlier on the call, what's happening, anything different to call out in that segment?
Charles Meyers : Sure. Thanks, Jonathan. Yes, we continue to invest in Equinix Fabric and the feature set thereof. I talked a little bit about the recent capability we developed, which allows customers to more easily interconnect to any other Equinix customer on the Fabric. Metal, obviously, has been a significant area of investment, and we're excited to expand the capabilities there in terms of -- or expand the reach of that out now to 18 markets will get to early in '21. We're also investing in the go-to-market motion to continue to adapt that. We're currently executing with an overlay and continuing to refine our thinking on how best to scale that market, but accelerating our overall digital services portfolio, which would include Fabric and Metal and Network Edge and others is a clear priority for us in the year ahead, as I said in our prepared remarks. So we're really excited we believe because you did put that in the context of -- we think that, that can continue to drive yields. We think return on invested capital for those offerings is going to be very attractive over time. And we think, importantly, they're really responsive to the needs of our customers as they think about how digital transformation -- what their digital transformation journey looks like. So you'll hear a lot more from us on what the multiyear view is for those products as we move towards Analyst Day. And then Fed, look, we actually -- we're bullish. We think that there's more opportunity we -- and I think it's something that we're putting a little bit of energy behind. And I can't speak in significant depth on. I know Karl is excited about the opportunities that exist there, and it's something that we're going to continue to be active in trying to pursue the right kinds of opportunities that fit the Equinix value prop.
Operator: And our last question will come from David Guarino with Green Street.
David Guarino : I just wanted to go back to the sequential step down in colocation revenue in the EMA region. Was that entirely due to this one managed service customer? And are there any more tenants like that inside of your global portfolio?
Charles Meyers : Keith, do you want to take that?
Keith Taylor : Yes, I'll take that. David, and in fact, that was referred to the one-off -- I'm referring to the one-off adjustment in my prepared remarks. So basically, it was an accounting adjustment that we made in the fourth quarter that saw the step down in colocation revenues between the 2 quarters. So we saw a step-up in Q3 and then a step down in Q4.
David Guarino : Okay. Got it. And then on the xScale...
Keith Taylor : Managed -- pardon me, managed service providers go through our MIS line. Just so you know.
David Guarino : Okay. Helpful. And then the last one, just really quick. On your xScale projects for '21, could you just remind us of what the day 1 stabilized yield on those projects are? And it'd be helpful not just to get Equinix's JV share with all the fees, but just on the project level, what kind of returns you expect to achieve?
Charles Meyers : Yes. I mean, we had talked about -- at Analyst Day, we talked about yields or cash-on-cash yields in the low double-digits -- low to mid-double digits. I've said on a couple of occasions that I think there's been more pressure on those returns and on cash-on-cash yields in the hyperscale space just because of overall supply demand dynamics and a lot of people sort of shooting at that target. And so I think you're looking more at the lower end of that. And I think still seeing either very high single-digit or low double-digit cash-on-cash yields. But I think when you look at it from our standpoint and with both fee structure that exists there and then leverage that exists, I think you're able to get substantially more attractive project returns that are going to be into that double-digit range.
Katrina Rymill : That concludes our Q4 call. Thanks, everyone, for joining.
Operator: Thank you for participating in today's conference. You may disconnect at this time.